Operator: Greetings and welcome to the New Market third quarter 2009 financial results conference call. (Operator instructions) It is now my pleasure to introduce your host Mr. David Fiorenza, Vice President, Treasurer and Principal Financial Officer for New Market. Thank you Mr. Fiorenza, you may now begin.
David Fiorenza: Thank you for joining me to discuss our third quarter and first nine months performance. With me today is Teddy Gottwald, our CEO. I have a few planned comments after which we'll open the lines for any questions. As a reminder, some of the comments we will make today are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We believe we based our statements on reasonable expectations and assumptions within the bounds of what we know about our business and operations. However, we offer no assurance that actual results will not differ materially from our expectations, due to uncertainties and factors that are difficult to predict and beyond our control. A full discussion of these factors can be found in our most recently filed 10-K and 10-Q. We plan to file our 10-Q early next week, please read it for a more detailed explanation of the company’s performance. Net income for the third quarter was $56.7 million or $3.72 a share compared to net income for the third quarter last year of $16.5 million or $1.07 a share. For the first nine months, net income was $116 million or $7.61 a share compared to net income for the same period last year of $53.9 million or $3.48 a share. Net income for both the third quarter and nine months of this year included a charge from recording its fair value in interest rate swap agreement related to financing of Foundry Park. The loss amounted to $2.4 million or $0.16 a share for the third quarter and $9.8 million or $0.64 a share for the nine months Petroleum Additives’ net sales for the third quarter were $414 million, this is $23 million less than last year’s third quarter about a 5% reduction. We are looking strictly at tonnage though our shipments were down about 3% in this comparison. Also included in the reduction in net sales between the two third quarter periods is an unfavorable currency impact of about $8 million. We had lower selling prices also. To recap, we were down $23 million, $8 million due to currency, $11 million due to price and mix and the remainder of $4 million due to lower volumes and nets [ph]. I think it is helpful to recap a few business conditions that existed for mid 2007 through most of 2008 when analyzing the nine months performance of sales. Throughout the second half of 2000 and the most of 2008, we were raising prices to recover rapidly escalating raw materials. The economic slowdown hit in late 2008 and raw materials contracted and we adjusted pricing accordingly. This makes for some nine-month comparisons that are not particularly insightful of our current business operations but nonetheless correct. With that in mind I will now discuss the year-to-date sales. Nine months Petroleum Additives’ sales were $1, 117 million, this represents about a 10% reduction from the first nine months of last year. Foreign exchange was unfavorable $33 million a 16% reduction in shipments lowered revenue by $163 million and higher selling prices added $74 million. While product shipments had been lower on a year-to-date basis, product shipments have improved each quarter in 2009 increasing 16% between the first quarter of 2009 and the second quarter of 2009 and increasing 14% between the second quarter and the third quarter. We believe product shipments are now roughly near the normal level that were typical before the worldwide economic slowdown. Petroleum Additives’ operating profit was $96 million for the quarter compared to $28 million in last year’s third quarter. For nine months this segment has made $214 million compared to $98 million for last year’s nine months. Third quarter and nine months results are higher across all business lines within the Petroleum Additives segment. The most significant favorable factors in the quarterly comparisons included lower raw material costs and a favorable foreign exchange impact of about $4 million while lower selling prices were a negative component. Product shipments were down 3% as I just discussed. During the third quarter we experienced increases in raw material costs and tightening in the availability of certain raw materials. The most significant favorable factors when comparing operating profit on a year-to-date basis include lower raw material costs and higher selling prices. While partially offset by selling price reductions made [ph] this year the overall increase in selling prices for nine months is the result of the actions taken through 2008 as I just discussed when we were talking about sales. The key unfavorable factors were lower shipments and foreign currency impacts. Foreign currency resulted in an unfavorable impact of about $9 million when comparing the two nine-month periods. S&A decreased about $500,000 or 2% for the third quarter of 2009 while R&D increased $2 million or 11% when compared to the same 2008 period. For nine months, S&A decreased $5.4 million or 7% and R&D was essentially unchanged. The changes for both the third quarter periods and the nine-month periods include a significant favorable foreign exchange impact. We continue to invest in S&A and R&D to support our customers’ programs and to develop the technology required to remain the leader in this industry. Other expense for the third quarter was $4 million while nine months was $16 million. The amount in both 2009 periods represent an unrealized loss on a derivative instrument representing an interest rate swap recorded at fair value. Income tax expense was $30 million for the quarter compared to $6.4 million for last year’s third quarter. The effective tax rate was 34.9% for this quarter. It is likely that our overall effective tax rate will be in the 34% to 35% range going forward. Turning now to cash flows, we had another positive quarter. Cash increased by $22 million compared to June and puts our cash at $133.8 million at the end of this quarter. This is an increase of $112 million since the end of the year. Our net debt, which we define is all outstanding debt less cash, was a low $103 million. Cash flow provided from operating activities for nine months was $195 million and included a source of $67 million from reductions in working capital. For the quarter, working capital was a net use of about $10 million. Cash used in investing activities was $77 million during nine months and included a net funding of $10 million for the interest rate swap. Excluding our Foundry Park project we funded expenditures of $26.5 million through September. In late July we announced that we are expanding our supply chain capabilities by investing in a manufacturing facility in Singapore. This new plant will enable us to better serve our customers in that region with shorter lead times and improve security of supply. In addition the facility will allow us to manufacture to the specification of our customers in that region with our most current technology. While the initial capacity will represent a small increase to our overall global production capacity the facility will be scalable allowing us to add capacity as demand grows in that region. We expect that this facility will be in production during the first half of 2010 with the majority of the cash being spent in 2009. We estimate our total capital spending in 2009 will be about $40 million. Capital expenditures this year related to the Foundry Park project amounted to $40 million year to date. This project to construct a multi-story world headquarters office building for MeadWestvaco continues to progress as expected. The project will be completed later this year. We expect capital expenditures for the year related to this effort to be about $59 million, which will be substantially borrowed under our construction loan. We expect the total amount drawn on the construction loan to be about $100 million to $105 million by year-end. We are continuing our efforts to find pioneers to replace the construction loan, which is due in 2010. Cash used in financial activities during nine months were about $11 million. The main item in this category is the funding of our dividend, this will be an even bigger number going forward as I hope you noticed yesterday that our Board increased the quarterly dividend to $0.375 a share from a previous $0.25 a share or a 50% increase. At the end of the third quarter we had $139 million revolver credit facility of which we had $4.6 million letters of credit written against and no drawn debt. That revolving credit facility matures in December of 2011. The performance of our business for the first nine months this year has been excellent. We have actively managed our business during very challenging economic times and are confident in our strategy to serve our customers by helping them succeed in their marketplace by providing innovative solutions. We feel our financial results are a measure of how we are performing against that strategy. We believe that our overall business efforts [ph] have returned to a more historical level of demand. We further believe that the contraction associated with de-stocking and shrinking demand due to the economic conditions has ended. For the first nine months of this year, our product shipments were down 16%. When considering only the third quarter as I said they are down 3%. While we are still somewhat cautious in our outlook for demand due to an uncertainty in the economic world, we are encouraged by the third quarter volumes. Our plants are running at very high rates. We are seeing increases in raw materials and we are experiencing some tightness in certain raw material availability. Additionally we are spending at a higher rate in R&D and in health and environmental areas in support of our customers as well as response to various laws being enacted around the world. As we have communicated in the past, we intend to leverage our financial strength to increase shareholder value by growing the business with acquisitions being an area of primary interest. Our primary focus in the acquisition area remains on the Petroleum Additives industry. It is our view that this industry will provide the greatest opportunity for a good return on our investment while minimizing risk. We remain focused on this strategy and will evaluate any future opportunities. Nonetheless, we are patient in this pursuit and intend to make the right acquisition for our company when the opportunity arises. Meanwhile we believe we had many opportunities for growth both from a geographical and product line extensions. Until an acquisition materializes we will build cash in our balance sheet and will continue to evaluate all alternatives used for that cash to enhance shareholder value including stock repurchases and dividends. That is the end of my planned comments, Chris, can we open the line for questions please.
Operator: (Operator instructions) Our first question comes from the line of Ian Zaffino with Oppenheimer & Co. Please proceed with your question, your mike is now allowed [ph].
Ian Zaffino – Oppenheimer & Co.: Thanks, good morning. Question on the pricing environment, if you were to look out over the next one to six months or so what pricing you will still be doing it will not be the drivers, thanks.
Teddy Gottwald: This is Teddy. Right now we are seeing some raw material increases in the marketplace and it is certainly our intent to recover those increases. I do not see any – we are not forecasting any substantial change in the environment over the next six months but it is still a volatile world out there and crude oil is increasing back up so it is just hard to say.
Operator: Thank you. Our next question comes from the line of Ivan Marcuse with Keybanc Capital Markets. Please proceed with your question, your mike is now allowed.
Ivan Marcuse – Keybanc Capital Markets: Hi guys, great quarter.
David Fiorenza: Thank you.
Teddy Gottwald: Thank you.
Ivan Marcuse – Keybanc Capital Markets: Teddy you said last quarter that you saw the margins on the operating side being sustainable maybe in the low teens I think is what you said. Now that the margins have increased substantially again in the third quarter, do you still see looking out to 2010, 2011 (inaudible) being in the 11% to 13% range or are you seeing it more probably a little bit higher than that? What is your outlook looking towards that and what kind of profitability do you need to continue investing in the business?
Teddy Gottwald: Ivan that is a good question, yes we think we can do better than the numbers we were talking about in the last call. We would like the margins where they are because they do allow us to reinvest in the business and we have made some debt while doing that in recent days we have expanded our research center here in Richmond. We have opened a new one in Shanghai and David commented on the investment and manufacturing capacity in Singapore. All of these activities should help us to give our customers what they need to compete going forward and the current environment allows us to make investments like that.
Ivan Marcuse – Keybanc Capital Markets: You said that you like the margins where they are at, they are like 23% this quarter, do you see them staying in the 20% range over the next – going forward as the long-term outlook or is the bracket more in the high teens or can you quantify this time?
Teddy Gottwald: Really cannot quantify it at this time, the industry fundamentals are strong today and our business is strong today. We have got a lot broader geographic coverage. We have got a much broader product mix than we used to have a more diverse customer base and stronger technology to compete in the market.
Ivan Marcuse – Keybanc Capital Markets: So would it be safe to say that looking maybe six months twelve months that the operating margins will probably be close to where you are right now versus the low teen area?
Teddy Gottwald: I do not know honestly.
Ivan Marcuse – Keybanc Capital Markets: Alright, great and then David one quick question, FX is probably going to be a tail one for you in the fourth quarter, you know what the dollar is doing right now versus the euro, probably 10% change in the euro, how much does that impact EBIT, do you have any quantification for that?
David Fiorenza: I do not mind answering but I do not have that with me. But you are absolutely right, it will be a benefit euro is at 1.50 or so these days and that tends to help us but I would be surprised it is more than a few million dollars.
Ivan Marcuse – Keybanc Capital Markets: Okay, great quarter and I will look forward to seeing you next quarter.
Teddy Gottwald: Alright, thank you.
Operator: Thank you. Our next question comes from the line of Robert Felice with J Goldman & Co. You can proceed with your question, your mike is now allowed.
Robert Felice – J Goldman & Co.: Hi guys, I will offer my congrats on an excellent quarter as well.
Teddy Gottwald: Thank you.
Robert Felice – J Goldman & Co.: You are welcome. Just one in particular I guess on Ivan’s last question around margins maybe taken from a little different angle, given the value added nature of your products, how receptive do you think your peers are, your competitors as well as your customers to further increases in price in the event that over the next three, six, twelve months raw materials do raise more dramatically?
Teddy Gottwald: I certainly cannot comment on what my competitors are thinking but in the environment that we have experienced over the last really two years now, we have been able to recover raw material cost increases in the marketplace albeit with a lag often. I honestly do not see any macro changes to the industry fundamentals that would make that more or less difficult going forward.
Robert Felice – J Goldman & Co.: So with the exception of temporary dynamics around timing and raw material costs that could lead to margin compression, what then would prevent the margins from being sustainable at current levels?
Teddy Gottwald: Just the normal pushs and pulls in the marketplace, the normal variations in volume and unforeseen things I have not thought about yet which just prevent me from telling you I am confident they are going to stay where they are.
Robert Felice – J Goldman & Co.: Okay, okay, fair enough. Did you see any pre-buying this year in the third quarter ahead of the hurricane season and to what extent if you did you think that pulled [ph] volume from the fourth quarter into the third quarter?
Teddy Gottwald: We tend to see that more in the springtime, more at the beginning of the season than now and we think there was certainly some of that going on but I think David may have commented we believe the stocking and de-stocking is relatively stable right now and we are looking at a fairly good picture as best as we can tell what the market is doing without those extra influences.
Robert Felice – J Goldman & Co.: Okay, great. Thanks for taking my question.
Teddy Gottwald: Sure.
Operator: Thank you. Our next question comes from the line of Todd Vencil with Davenport & Company. Please proceed with your question, your mike is now allowed.
Todd Vencil – Davenport & Co.: Thanks, good morning guys.
David Fiorenza: Good morning.
Teddy Gottwald: Good morning.
Todd Vencil – Davenport & Co.: Coming back to margins again, everybody is just trying to wrap their heads around this and think about how to think about it I think. Teddy, you sort of took your mid-cycle estimate up a bit last quarter, taken it up again a bit this quarter, but still it would seem to imply that that mid cycle estimate is kind of a low 23% you got in the third quarter. So as you look out from there, from where we are now it is kind of a mid cycle number, what is going to be the adjustments that is going to take you from 23% to whatever that mid cycle number is, somewhere above I guess the low teens number you said last quarter, where do you think pressure comes from if anywhere?
Teddy Gottwald: Todd, pressure comes from sort of the usual spot and volumes, mix, foreign exchange, competitive action there is just a lot of pushs and pulls in there as well as – certainly the impact of volume on plant loading can have a significant impact. Typically the fourth quarter volumes are lighter than the second and third so I am just very hesitant to try to predict what they are going to be.
Todd Vencil – Davenport & Co.: When you look at demand out there as it is recovered and you talk about stocking and de-stocking but can you tell in terms of sort of true secular growth where is a lot of demand being driven by now to what part of your business?
Teddy Gottwald: Certainly geographically China and Asia is where the largest growth is. When we look at the underlying demand we were encouraged that the third quarter demand was then, let us say, 3%, last third quarter it was kind of a good measure since it was before the financial turmoil and really 3% in a quarter for us is kind of hard to measure when you consider timing of shipments, revenue recognition is on a number of factors. But I think it is the beginning of the year we indicated our view that because of worldwide recession we were looking at underlying demand being off in the 5% to 8% range. The third quarter would indicate the lower end of that range, one quarter does not make a trend but we still think probably 5% give or take is a good number for underlying demand in the industry and then as we go forward we still think that 0% to 2% growth kind of year on year is what the industry is shaping up over the next handful of years.
Todd Vencil – Davenport & Co.: Okay. I appreciate that. For both of you I guess David you talk about acquisitions being sort of a favored use of capital, you have internal opportunities, you also talked about return of capital to shareholders, share buybacks, raise your dividend, etc, as you sort of look out and take the first one, have you seen any change in the last three months and the acquisition opportunity space has it gotten better, has it gotten worse, can you talk about that?
Teddy Gottwald: Within the Petroleum Additives industry I would not say it has really changed. There is just not that many opportunities that come along and the ones that do typically are relatively small under $100 million. We continue to focus on that aspect from an acquisition standpoint but we are also starting to put some additional attention beyond Petroleum Additives just to learn more and just to see what else is out there. Our preference would be Petroleum Additives but we know how to produce and develop and sell especially chemicals. So we will look a little bit broader now.
Todd Vencil – Davenport & Co.: Okay, interesting. On the raws, you mentioned that some of them is getting tight, any sort of theme as to which ones are getting tight coming out of any sort of specific suppliers and how much of an impact does that have at this point?
Teddy Gottwald: No. If there is a theme, the theme is that with overall specialty chemicals in general around the world being off volume wise it has really changed the way that refineries are running their operation and despite the reduction in volume, each stock going into specialty chemicals had been cut quite a bit by the refiners. So there is just some unusual tightness in certain places as a result of that.
Todd Vencil – Davenport & Co.: Got it. Okay, thank you.
Operator: Thank you. Our next question comes from the line of Shyamo Saduken [ph] with Meredith Funds [ph]. Please proceed with your question, your mike is now allowed. Mr. Saduken, your line is now allowed.
Shyamo Saduken – Meredith Funds: Hi, my question has to do with margins in the third quarter versus the second quarter. So it seems like margins in the third quarter, gross margin actually (inaudible) over margin in the second quarter but base oil prices were higher in the third quarter than they were in the second quarter. So can you explain why even with higher raw material cost in the third quarter you were able to get a higher margin on the gross margin line than you were in the second quarter?
David Fiorenza: Yes, this is David. The contributing factors to that expansion were a couple. You were right about raw materials. We had more volume we communicated 15% more which helps the plant loading and on a quarter to quarter sequential basis we had an unusual benefit of foreign exchange just how things developed and that added a fair number of million dollars to that comparison. So those are the components, plant loading and foreign exchange.
Shyamo Saduken – Meredith Funds: I see. The other thing I wanted to ask about is in terms of where industry pricing is right now, on the one hand raw materials cost are way down from the peak when the well was trading close to $150 a barrel but on the other hand obviously we are off the lows in terms of raw materials pricing that we had in March and April. So are you at this point seeing price increases meaning towards increasing prices from your customers or are you seeing pressure on the rise meaning they are coming back to you and asking for a (inaudible)?
David Fiorenza: I am not really sure I understand the question. We are seeing pressure from our suppliers with costs going up.
Shyamo Saduken – Meredith Funds: I mean on the prices that you are able to charge your customers, are you able to increase pricing? Is the trend of pricing increasing right now or is the trend of pricing stable or decreasing from the prices that you are able to charge your customers?
David Fiorenza: I would say they are increasing modestly.
Shyamo Saduken – Meredith Funds: Okay, thanks. That is all I have.
Operator: Thank you. Our final question comes from the line of Ian Zaffino with Oppenheimer & Co. Please proceed with your question, your mike is now allowed.
Ian Zaffino – Oppenheimer & Co.: Great, thank you. Just a follow-up, I know you guys are always talking about kind of 10% margin as being I guess you can call it the boggy, if there is over 10% – or it is right there has been no capacity added over the past couple of years as really (inaudible) margins over 10%, now we are starting to see them creep over 10%, you are doing a plant in Singapore, is there any other capacity in the industry that can potentially come alive that can maybe keep you up on that?
Teddy Gottwald: No, not really. We tend to be fairly conservative Ian when we are talking to you and when we are under 10% we are going to talk about 10% because that is attractive to us and it is directionally right. I do not really think that 10% was a magic number but it was certainly in the right direction when we were not there.
Ian Zaffino – Oppenheimer & Co.: Okay and I guess one of the arguments for seeing the better margins or better than expected margins is because of this tight supply demand situation on your end. But as far as capacity, has there not been any incremental capacity that you can add to the industry over the past year or two years so I am just curious why we are seeing this large margin expansion today versus let us just say two years ago and this is why demand calculations are very similar or even a year ago before the (inaudible) was started by the Congress?
Teddy Gottwald: There are a number of elements to that. Certainly there has been growth in demand through this period and we have also had a two-year period of havoc with raw materials and crude oil sky rocketing and then coming down and now going back again. So there has been a lot of issues to deal with, it just had not been a steady state.
Ian Zaffino – Oppenheimer & Co.: Okay that is helpful, thank you.
Operator: Mr. Fiorenza, there are no further questions at this time.
David Fiorenza: Thank you very much for joining us. We will talk to you next quarter. Have a good day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and we thank you all for your participation. Have a wonderful day.